Operator: Welcome to -- good morning, ladies and gentlemen. Thank you for standing by. Welcome to Supremex' Q1 2023 Earnings Conference Call. [Operator Instructions]. Before turning the meeting over to management, please be advised that this conference call will contain statements that are forward-looking and subject to a number of risks and uncertainties that could cause actual results to differ materially from those anticipated. I would like to remind everyone that this conference call is being recorded on Wednesday, May 10, 2023.  I will now turn the conference over to Stewart Emerson, President and CEO. Please go ahead.
Stewart Emerson: Thank you, operator. Good morning, ladies and gentlemen. I'm here with Steven Perreault, Interim Chief Financial Officer of Supremex. Thank you for joining us for this discussion on the financial and operating results for our first quarter ended March 31, 2023.  Our press release reporting these results was published last evening. It can also be found on the Investors section of our website at www.supremex.com, along with our MD&A. These documents will be available on SEDAR as well. We also posted a presentation supporting this conference call.  Let me remind you that all figures expressed on today's call are in Canadian dollars unless otherwise stated. Supremex had another strong quarter with revenue growth of nearly 40%, a 13th consecutive year-over-year improvement in adjusted EBITDA and a 50% rise in net earnings. The revenue growth was both organic and by recent acquisitions, namely Royal Envelope and Paragraph in the Packaging segment. Steven will provide additional details in a few minutes, but let me take a moment to discuss with you the business dynamics.  Our Envelope business had another exceptional quarter, as we delivered on the solid bookings we had at the beginning of the period. Execution on a clear strategy also continues to bear fruit as we benefit from a better sales and customer mix in our U.S. activities. We continue to drive a greater proportion of our business from program-oriented and end-user customers, which tend to be stickier and have a higher margin profile.  In doing so, we have moved up the distribution channel with less reliance on wholesalers and brokers. Q1 also marked the first full period with Royal Envelope, which contributed approximately $12 million in revenue. The operational integration has progressed well. And as I said in the last quarter, we see attractive growth opportunities, both in direct mail and conventional channels, and we are only beginning to tap this potential.  As you are aware, the U.S. market is of significant size. And with our scale, know-how and expanded offering, we have been ambitious in looking for revenue synergy from cross-selling our respective product offerings to satisfy a wider range of needs for both existing and new customers.  Turning to packaging. We have made considerable progress and continued to build impressive scale, but candidly, we expected more in the quarter. The shortfall was primarily due to residual inefficiencies following the relocation of the Town of Mount Royal folding carton plant to the Lachine facility. This move, while a remarkable feat by our operations team was a significant distraction and impacted productivity and efficiencies. Not surprisingly, the inefficiencies had a negative impact on packaging sales, absorption and margins in Q1.  We continue to make progress on the commissioning at a steady pace. The relocation constitutes an essential step in our packaging strategy as this larger and more efficient facility will easily accommodate more equipment and volume to assist in reducing costs while building the business.  Q1 was also our first quarter with Paragraph, and it generated just less than $8 million in revenue. The integration has more moving pieces than a traditional single product acquired company, but we've made good progress, and we believe these operations will yield important synergies within our expanded network.  And on the topic of expansion, on Monday, we announced the acquisition of Graf-Pak, a manufacturer of folding carton packaging solutions to several commercial markets, including food and cosmetics. Located on Montreal's West Island, Graf-Pak is a relatively small business with sales of approximately $6.7 million. It is a perfect synergy tuck-in with our existing operations in the Greater Montreal area. In announcing the transaction, we informed employees that within 90 days, we intend to move their activities to the new Lachine facility, which is less than 15 kilometers away. We expect this tuck-in operation to rapidly yield synergies within our folding carton group.  With that, I turn the call over to Steven for a review of the Q1 financial results.
Steven Perreault: Thank you, Stewart. Good morning, everyone. Q1 2023 was another record quarter for Supremex.  Turning to our top line review. Total revenue was up 39.8% to $88.4 million, from $63.3 million last year. Revenue from the Envelope segment rose 44.4% to $64.5 million. This solid growth includes a $12 million revenue contribution from the acquisition of Royal Envelope completed last November. Revenue was also favorably impacted by an average selling price increase of 40.1%, which mainly reflects more favorable customer and product mix in U.S. operations as well as pricing adjustments to mitigate input cost inflation.  Packaging and Specialty Products segment revenue amounted to $24 million, up 28.7% from $18.6 million last year. This increase reflects a $7.8 million contribution from Paragraph and higher e-commerce-related sales, partially offset by the wind down of Durabox operation and the residual impact on sales of relocating the folding carton facility.  Looking at EBITDA. Consolidated EBITDA was $18.5 million in the first quarter of 2023 versus $12.1 million in Q1 2022, while adjusted EBITDA reached $18.8 million, up from $12.1 million last year. As a percentage of revenue, the adjusted EBITDA margin was 21.3%, up from 19.1% a year ago. Envelope segment adjusted EBITDA totaled $17.3 million compared to $10 million last year. This sharp increase primarily reflects the Royal Envelope acquisition as well as higher margins related to a more favorable customer and product mix in the U.S. The adjusted EBITDA margin was 26.8%, up from 22.4% last year.  In the Packaging and Specialty Products segment, adjusted EBITDA was $3.8 million compared to $4.2 million last year. This decrease reflects the residual effect on profitability from relocating the folding carton facility, partially offset by the contribution from Paragraph. Adjusted EBITDA margin was 16.1% compared to 22.5% for the same period in 2022. Corporate and nonallocated costs were $2.3 million in the first quarter 2023 compared to $2.1 million last year. The slight increase is mainly due to higher compensation-related expenses.  Now looking at net earnings. Net earnings reached $9.5 million or $0.37 per share, up from $6.3 million or $0.24 per share last year. Adjusted net earnings amounted to $9.8 million or $0.38 per share in the first quarter of 2023 versus $6.3 million or $0.24 per share a year ago.  Turning to cash flow. Net cash flows from operating activities totaled $7.5 million in the first quarter of 2023 versus $0.2 million in Q1 2022. The year-over-year variation is due to higher profitability and a reduction in working capital requirements. Free cash flow was $3.4 million in Q1 2023 compared to minus $0.1 million, as the aforementioned factors were partially offset by higher CapEx this year compared to last.  Looking at our financial position. Our total debt amounted to $81.4 million as at March 31, 2023, versus $54.7 million as at December 31, 2022. This increase is essentially related to the acquisition of Paragraph for a consideration of $27.1 million. Net debt, which excludes deferred financing costs and cash stood at $79 million. As a result, our net debt to trailing 12 months adjusted EBITDA ratio was 1.2x as at March 31, 2023, versus 0.9x as at December 31, 2022.  At the end of the quarter, we had $39.9 million in available liquidity under our senior secured revolving credit facility of $120 million, leaving us sufficient flexibility to finance our investments and operations. Finally, the Board of Directors declared a quarterly dividend of $0.035 per common share payable on June 23, 2023, to shareholders of record at the close of business on June 8.  I'll turn the call back to Stewart for the outlook. Stewart?
Stewart Emerson: Thank you, Steven. As I've said -- as we've said many times, we are methodically building this company for the long term. Our strategy is relatively simple and universally understood by our management teams, leverage our market position, capacity, know-how and cash flow in envelope to fund the pivot to packaging. We are pleased with the progress made in its execution, but we are not satisfied.  In the immediate term, our priorities are to integrate the recent acquisitions to harvest all synergies. This includes making further inroads in the U.S. direct mail market for our envelope operations, leveraging larger capacity of our revamped Lachine folding carton facility in packaging and integrate both of the 2023 packaging acquisitions. Our revenue run rate is approximately $350 million, and our first quarter sales exceeded its proportional share. This said, we expect some softness in the second and potentially third quarter as customers work through higher inventories built through panic buying during last year's constricted supply.  Fast forwarding to this year, those customers must work through their excess inventory during a time of general market softness resulting from the economic uncertainty, and our new order intake has been negatively impacted. I want to be clear here, the market and business fundamentals have not changed. This is simply a reset required after a tumultuous 2022 in both segments we serve, and we expect to return to normal fee in Q2 and into Q3.  Fortunately, for Supremex, we can rely on a solid reputation and wide geographic and product reach to help mitigate the adverse effects of a reset. And as always, we will continue to tightly manage our expenses.  Supremex' results clearly show that our strategy is sound, and we continue to drive toward our midterm objective of achieving a 50-50 balance between envelopes and packaging by the end of 2025. Currently, our run rate is roughly 70-30. To reach our objective, we need approximately $150 million in new packaging business. While we have identified organic growth opportunities, about 80% of the additional revenue should come from M&A, ideally with a cadence of 1 per year using a healthy balance sheet to acquire, integrate and deleverage before moving on to the next target.  With the recent additions, we feel our presence in Quebec is now optimized, and we are ready to expand to new territories, either in the Ontario market, or in U.S. markets where we already have a presence to benefit from natural synergies. Supremex has a solid balance sheet and generates strong cash flow. This provides us with the flexibility to look for strategic initiatives that create the most value for our shareholders.  In conclusion, I thank all Supremex employees for their excellent performance. We are privileged to have solid teams in both Canada and the U.S. as well as in both envelope and packaging. These achievements would not have been possible without their talent and dedication.  We will now be pleased to answer any questions you may have. Operator?
Operator: [Operator Instructions]. Your first question comes from Kyle McPhee with Cormark Securities.
Kyle McPhee: Just to start off with the Envelope segment. Your pricing seems to be landing higher than I thought and fully sticking at those higher levels. And my question is what we should expect going forward? Immediate and midterm with sector supply chains now loosened and your input costs likely deflating. Should we expect envelope pricing to start deflating? And maybe as part of your answer, you can address Canada and the U.S. market dynamics?
Stewart Emerson: Yes. So that's $64,000 question, Kyle. Q1 was largely booked in Q3, Q4. So those orders were in-house, in place, already prepriced, we are seeing sort of a natural return of questions around pricing and people more were in years -- in last year, they were more concerned about supply and availability. Today, they're asking about both availability and price. How far that ebbs remains to be seen. We actually did have a little bit of pullback on ASP, average selling price in the U.S. in Q1.  It's kind of hidden a little bit by continued growth in Canada. So as the supply and demand gets more [indiscernible] natural conversation. I don't know what that number is and nor do I care to predict how far or how much pressure there will be there, but there will definitely be some. Obviously, Canada is less so, given our market share and market position. And it really comes down to how quickly -- I think it really comes down to how quickly customers work through their inventories and those that have sort of stayed out of the mail for a period of time because of the economic uncertainty, how quickly they get back into it will dictate sort of where our competitors go on price. I do like our position. I mean where we were a year ago and where we are today with the customer mix is going to give us some insulation on any downside.
Kyle McPhee: Okay. That's helpful. Again, on the Envelope segment, your comments pointed that you're losing volume relative to the temporarily very strong period in 2022. I'm just looking for a little more detail on exactly what's going on. Are you losing client accounts that no longer need to as sector supply shortages are gone? Or are you just losing volume from clients that you're keeping, but they're just chewing through their inventory? Or is it both?
Stewart Emerson: It's a little bit of both, but it's more of the latter than the former. So yes, there's been a few customers that have gone somewhere else for a better price or something that really needed us in the -- in 2022, but there's not very much of that. Most of it is wholesalers that have -- they were buying as much product as they could possibly get. And we were supplying and others were supplying. For example, we have a large wholesaler in New England. And their units purchased this year are down 61%, but they haven't moved a single item from us. They're just chewing through the inventory. They say they're 2 weeks away from being able to put replenishment orders back in the system. And it's more of that type of impact than customers leaving us. .
Kyle McPhee: Got it. Understood. Okay. And then midterm beyond all this lapping noise, is the goal with your Envelope segment to still have flattish organic volume growth or -- in other words, do you still expect you can take enough share in the U.S. market to offset those Canadian secular declines? Like has the view on your runway in the U.S. changed at all?
Stewart Emerson: Not at all. In fact, it's actually improved a little bit with the acquisition of Royal. We have some capacity there, and it takes us into a market that we weren't terribly familiar with.
Operator: [Operator Instructions]. Your next question comes from Naji Baydoun with iA Capital Markets.
Naji Baydoun: Just to pick up the line of questions on envelopes. Can you just give us a bit more details about the sales mix because volumes were also up in the quarter? How is that looking? And what are sort of your expectations on [indiscernible] mix and volumes for the rest of the year?
Stewart Emerson: So as we said in the statements, I mean, we think volumes are going to be softer in Q2. We've already seen sort of a softening as customers work through that inventory. How it looks and how quickly people come out of it is sort of remains to be seen. And then, we get the other dynamic is on the direct mail side, the not-for-profits or fundraisers have significantly diminished their direct mail in the quarter just as inflation has affected people's ability to -- inflation and concern, I guess, have impacted people's ability to donate or will to donate to not-for-profits.  And then on the banking side, the credit card solicitation acquisition business, interest rates have sort of made it a bit complex for mailers to put their offers together to get people to switch balances and so on and so forth. So it's really hard to tell, Naji. I mean there's -- we are involved in so many segments with so many moving parts. The degree in each segment is really hard to put our finger on. But we do expect volumes to be down in the second quarter, but it's a temporary thing as we work through sort of just some resetting.
Naji Baydoun: Understood. And I appreciate it. So it's a dynamic sort of issue, a lot of moving pieces. Maybe just then switching to the packaging side. Can you help us just a bit more with the sort of the impacts in the quarter from the relocation? And I guess big picture, what is sort of your expected sort of growth rate for the business now, the Durabox, like that noise is out of the picture and you have the 2 acquisitions that you just announced?
Stewart Emerson: Yes. So I mean, we had a lot of, call it, unabsorbed labor in the quarter in Q4 and in Q1, commissioning the press that we bought at the end of January. The press was there, but getting it commissioned and up and running. They had a lot of sort of direct labor and hanging around, helping with the commissioning. And we just didn't get the absorption, the revenue -- the sales revenue didn't drive the absorption that it normally does.  Same labor, lower sales, I guess, it's the easiest way to put it and flows right through to the bottom. It's largely behind us. There's a little bit of residual stuff there and just getting organized and being efficient and getting workflows sort of ironed out in the new facility. Tucking in the Graf-Pak piece will add a fair bit of contribution to the facility, and we'll take a lot of cost out associated with the rents and overheads and indirect labor in the Graf-Pak business. We're still -- of that $150 million, we think 80% of it has to come from M&A. So the balance would be organic growth over the next 3 years.
Naji Baydoun: It sounds like maybe there's still some impact in Q2 than from the relocation, but to a lesser extent. And any updates on the integration of Paragraph, I mean it's -- I think the business was a bit of a lower margin when you acquired it. But how is that integration going? Do you expect to maybe be more advanced on that process?
Stewart Emerson: Yes. As I said in my remarks, I mean, it's -- this is really the first acquisition we've done that's not been sort of a single product that either an envelope or a pure package. There's some ancillary businesses around it, and we're just trying to untangle those, takes a little bit longer than the pure tuck-in. We've grabbed synergies from paper, head count. I would say we're on track with the synergy side, but just getting our arms around it is taking us a little bit longer.
Naji Baydoun: Okay. I appreciate that. And I guess maybe just one last question. Any updates on the CFO search process? That would be helpful. .
Stewart Emerson: Yes. We've made good progress. We hope to have something announced here in the next couple of weeks, been through a robust interview process and had a candidate meet with the Board, and it's -- we're full steam ahead and hopefully have something to announce here shortly.
Naji Baydoun: Congrats on the good quarter.
Stewart Emerson: Thanks, Naji.
Operator: There are no further questions at this time. Please proceed.
Stewart Emerson: Great. Thank you very much, operator. So thank you all for joining us this morning. I hope to see a few of you at the AGM this morning. And for those of you that we don't see, thank you for joining, and we look forward to speaking to you again with our next quarterly call. Thank you, operator.
Operator: You're welcome. Ladies and gentlemen, this concludes your conference call for today. We thank you for participating and ask that you please disconnect your lines.